Unidentified Company Representative: Thank you very much for waiting, everyone. Welcome to the SoftBank Group Corp. Earnings Result Announcement for the 9-month period ended December 31, 2021. First of all, I would like to introduce today's participants. From left, we have Masayoshi Son, Chairman and CEO; Yoshimitsu Goto, Board Director and CFO; Kazuko Kimiwada, Senior Vice President and Head of Accounting Unit. Today's announcement is live broadcast over Internet. Now I would like to invite Mr. Son, Chairman and CEO, to present you the earnings results and business overview. Mr. Son, please.
Masayoshi Son: Thank you very much. This is Son speaking. So now I would like to start my presentation. First, I want you to look at this for photo. For the people living in this modern society, I believe that you know what this is. This is photo of a microcomputer. Actually, when I was at teen in United States, I was a student back then studying as a college student in the United States, and I encountered this photo, microcomputer chip, which is the size of your fingertip. And with this, this can work as a computer. This is a microcomputer. And when I learned about that, actually, my fingers on my hands was shaking. It was very impressive, and that actually was the big milestone for my life as a business person. So I was very much attracted by the microcomputer. And since -- after that, I founded SoftBank, and in year 2016, we decided to acquire the company, which was playing a very much center role in microcomputer chip. This was Arm. As you can -- you saw the photo in the very first slide of mine, that was back in -- excuse me, '70, yes, year '70s, and it was only about 2,250 units of the computing power of CPU. So even 2,000 units, it's quite a large number back then, and that was a very impressive change. But when you look at now, only 1 chip actually, 10 billion transistor are installed. So computing power of CPU has been accelerated along with the increase of the number of units. So like you saw in IBM which created a large computer, like this room-sized computer, and then that this is like a size of the -- fingertip-sized of the chip, and that has been improving its capability even further in the -- almost every electronics that you can think of at the household are using this chip. And in this area, Arm is actually taking up overwhelming shares in this area. This is a number of Arm-based chips shipped, and actually, so far cumulative, 220 billion units. And actually, 25 billion per year basis, increasing its shipments continuously. Think back since the human being born, there are lots of stories about the origin of human, but when you say Homo sapiens born and there are about 200,000 years past. And since Homo sapiens born in 200,000 years ago, in the cumulative number of human being since then, I would say about 110 billion people in this 200,000 years. So if you add all that -- all those people, I would say, 110 billion people. And actually, with this calculation, these 110 billion people are having 2 Arm per person. Arm has been shipping such a number of chip to the world. So actually, this is twice as much of number of cumulative people, human beings on this earth in the 200,000 years. So right now, we have about 7 billion people on the earth, and we count from the baby to the elders. I would say 30 Arm chip per person are using -- are used. So this is a tremendous number that we are speaking of. So AMD CPU, there are many companies actually that you can think of when it comes to the CPU. But number of CPU, as I believe, Arm is taking a tremendous and overwhelming market share so far. And so this is a [draw] type of the company, which we bought back in 2016. But last year, we have announced that we're going to let go because we needed to due to the COVID situation. That was about 2 years ago or 18 months ago. There was so much uncertainties how badly the COVID-19 bring us to the world. And back then that we have announced ¥4.5 trillion monetization program. And as a part of that program, because we announced to raise ¥4.5 trillion over a year, and actually, we achieved in 6 months. As a part of this program, we have also decided to let Arm go reluctantly. But we didn't wanted to simply let it go, so it was like sold by -- so the partner, NVIDIA, that tried to have them together and being a shareholder of NVIDIA, then we believe that this is going to be our most powerful company that we'll be able to create. And also, we can create the strongest company in the world. And we wanted to become the major shareholder of such company. So that is why that we have decided to sell Arm to NVIDIA back then, and we agreed and we announced and be -- try -- and to become the major shareholder of NVIDIA, which will be a great position for us. But since then, in the IT industry represented by GAFA, those major players in the industry, they're all against the idea of such transaction. In addition to that, U.S. government, U.K. government and some EU's country government were against the idea of this transaction. Usually, antitrust is claimed if you are merging in the same industry. So if in the automobile industry, if you are creating an engine and if another company is creating engine, and those 2 companies merging together, then the engine market share is going to be monopolized. Therefore, that the antitrust comes in. However, NVIDIA and Arm is creating completely different thing. It's like engine and tires. So we are running the totally different business and 2 companies merging, and antitrust is actually claimed for this transaction. I believe in the history of antitrust discussion, this could be the first case to claim the antitrust violations of the such 2 different kinds of the companies' merger. Why do they have to block this transaction? And I believe that's how each regulatories or those major players in the industry was so eager to block this transaction. That's how Arm was -- or is strong, or Arm is valuable because directly/indirectly, those players are using Arm products, which is essential and one of the most valuable company in the industry. So that is, I believe, why that the -- those concerned parties were against this transaction. So today, we have agreed with NVIDIA to terminate the sale of Arm. From NVIDIA side, they are still -- have some feeling towards this transaction. They were -- we are very much willing to do this transaction. We kept the passion for that. However, each government regulatories and those major players have been showing the strong position to against or block the transaction. So that even we -- despite our tremendous effort, we decide to terminate the sale or to terminate this transaction. So in this case, we are hitting towards plan B. But actually, originally speaking, since the condition of Arm, we were expecting to go this company public again in 4 to 5 years later, and that has been my comments since the condition. Because once we acquired this company, we privatized this company and became the private company. But after then, we invest in many areas in Arm. And once it's ready, then that we were to aim for the IPO. So that's something that we've been discussing from the beginning of the acquisition of the company. So I think timing is actually matched to fiscal year 2022, which is the term until the March end of 2023. So from the beginning, actually, we were hoping or aiming to bring this company go public once again around this timing. So actually, we are coming back to the original route. From the merger's point of view with NVIDIA, we were choosing plan B. But actually, we -- original scenario was to bring this company go public again. So this is the original plan, again. So that this is a very big announcement so that I wanted to bring this news in the very top of my presentation. This is a highlight for my presentation today. Arm has been powered the smartphone revolution. Smartphone around the world, the smartphone you have, you are using, I would say, close to 90-some percent are actually using Arm-designed CPU. So the majority of the smartphone around the world is using Arm-designed chip. And this Arm has been powering the smartphone revolution. Going forward, we believe that such Arm product is going to power auto, cloud, metaverse, IoT, a variety of the areas we believe that the Arm is going to be used, and that's how they've been evolving itself. So why -- can we aim for the IPO in 5 years after the acquisition? Why I have been saying that we are aiming for the re-IPO of the company in 5 years? It's because since the designing work starts, so -- and that will take about 2, 3 years. And then once the design is complete, then there will be about another year for the go to market by making this chip to the production. So since we decide a chip in 4, 5 years, then that you'll be able to see the product itself in the market. So immediately after we acquired a company, it's not the only smartphone. We are very strong conviction that the Arm is going to be used, not only smartphone, but it's going to be used a variety of the things. So this computing powers point of view, we have a very strong belief that it has a strong power. And some people say that the Intel is always the strongest in terms of the CPU computing power. However, I wondered, considering the computing power CPU actually is going to be used in even more products. So by making a preempt investments in R&D, talents, engineers, we wanted to -- we have decided to develop and also expand such field. And starting from this year, we will be seeing such product lines. So the seed we made is going to be cherished. And now that we will be able to see the fruit out of our seed. So Arm is going to be on the second growth stage. I'm so excited. I am very excited and happy to see these movements. So Arm, my summary here is that we -- Arm will prepare for the most significant IPO in the history of the semiconductor industry. So it is going to start its official preparation for IPO. So that's something that I wanted to share with you in the beginning of my presentation. So that was the biggest highlight today, but of course, I have to touch upon our performance -- business performance. Like I mentioned in the last earning result announcement, we were in the middle of blizzard storm, and the storm has not ended. In fact, the storm got stronger in the United States and other countries. Although the peak of the COVID-19 pandemic was passed, but now, long-term interest rate is going to be higher, especially stock price of growth companies are still in the middle of the storm. In fact, many companies saw their stock price hit in the market, especially growing companies that we tend to invest, their stock prices are hit hard. And the last year's performance was probably too good for us. But now we are seeing the downward trend. But more important indicator is NAV, net asset value, and more important than sales and income in terms of accounting because SoftBank wants to be an investor or investment vehicle. More important than accounting numbers like income and sales is a net asset value, whether it's down or up. Let's say the value of a stock price is 100, and if our net debt is 20, then the net asset value is 80. That's the most important number for us. Again, our stock price, 100; net debt 20; then 80 is net asset value to us. So whether 80 goes down to 60 or 80 goes up to 120, that ups and downs are more important for us. Since the peak of our performance, we have seen a tremendous loss. Since our September term last year and December term, in the last 3 months, we saw about ¥1 trillion loss. That's more important issue that we have to look at, more important than net income. From that perspective, I keep saying that we are still in the middle of the storm. But since the listing, even though we saw some ups and downs, but from broader perspective, the trend is upward, as you can see on the chart, even though there are small ups and downs, but in a big picture and a big trend, regardless of who is present, regardless of interest rate. So from trend prospective, we believe that we are on the upward trend. And in this chart, orange indicates Alibaba; and blue indicates a Vision Fund; and gray as others. And Arm is included in others. Vision Fund, obviously, is going up in a big picture. So Vision Fund keeps going up; and others, a little bit ups and downs. And the biggest loss we are seeing is orange. At the peak, the orange or Alibaba accounted for 60% of net asset value, but now 24%, whether it's good or bad. So Alibaba, the share price, its impact on net asset value is getting smaller. But in the last 3 months, the biggest driver of the loss was Alibaba's share price. And U.S.-China issues are hot in the news. Not only Alibaba, but also through Vision Fund, we have invested in the Chinese businesses like DiDi. It's like a Chinese version of Uber. And since we invested in DiDi, we have seen a huge loss of value. So Vision Fund and Alibaba -- I mean, Chinese portfolio that we have through Vision Fund and Alibaba, it accounts for 32% of net asset value. U.S. is going well. Japan, Asia, Europe, also going well. But in China, we have seen the biggest loss since the peak in terms of net asset value. By the way, again, we are SoftBank Group, whose core business is investment. And another important indicator that we have to look at as an investment company is LTV. Net debt divided by equity value of holdings, that's LTV. Let's say we have net debt, 20, of the equity value of holding, 100, then LTV should be 20%. So the blue is the holding, including Alibaba and Vision Fund portfolio, et cetera. In fact, 90% almost is a listed companies' portfolio. So looking at P/L and balance sheet, it's difficult, sometimes people say, to calculate value. But for me, it's simple. The blue part in this chart is a value of our holdings, and almost 90% of that is listed businesses. So every day, those companies are valued in respective markets. For example, Alibaba and other companies invested by Vision Fund in the market are valued in the market. So that's why it's very easy, actually, to calculate the value because those -- most of them are listed. And if we subtract our net debt, our red portion on this chart, our LTV or loan to value, which is very important, is described here. In fact, I checked 4 times a day by looking at the most 2 important numbers, NAV and LTV. Those are the only 2 numbers that I look at every day to calculate value of SoftBank. People would say that SoftBank is really complicating, but for me, it's simple because the only 2 numbers you have to look at is LTV and NAV. And in normal operation and business as usual, 22% -- excuse me, 25% or lower should be LTV. And even abnormal times like financial shock, like Lehman Brothers' bankruptcy, the red line, if you will, should be 35%. We can't exceed 35% of LTV. But at the moment, we are way below 35% and even below 25% in normal times. That's the level that we want to manage in terms of LTV, and we are lower than that 25% threshold. And Vision Fund plays a central role at SoftBank Group, and let me touch upon the performance of Vision Fund. This chart describes the performance of Vision Fund. Since inception of Vision Fund, whether we have cumulative loss or gain, that's shown on the chart. If the line goes down, the 0 line, it means we have lost. And let's say we invested 100 and now the value went up to 120, then the 20 should be the gain. So that's how you look at the chart. So every 3 months, ups and downs, it's important. But more importantly, you have to look at the broader picture to see whether SoftBank Vision Fund has a cumulative loss or gain against the investment they have made. The breakdown is here. Dark blue shows Vision Fund 1, which started earlier than Vision Fund 2. It took 3, 4 years to start seeing a gain. And the light blue shows a Vision Fund 2's performance. So Vision Fund 1's portfolio, as you can see, they have plenty of cumulative gain. Of course, 2 years ago, we saw negative numbers due to some issues or challenges like DiDi. But since then, they have built up gains, and cumulative gain is about ¥6.4 trillion. And the red on this chart indicates China; green, Asia, Europe, Latin America; and the blue, U.S. I said earlier that Alibaba stock price went down sharply, and that had a negative impact on NAV. Likewise, in terms of Vision Fund, their portfolio companies in China has a negative impact on Vision Fund performance. Still, from a cumulative perspective, they are not suffering from loss. Even Chinese companies invested by Vision Fund are still giving them gain. But some gains, they had cumulative -- have lost. Other than China, constantly, those portfolio companies in other regions have built up gain. And geographically, U.S., which is in blue; in China, in red; in other markets, in green. So from market value perspective, China in red is almost equal to the amount of investment that we have. And the U.S. and other markets, they have built gains and revalued in accordance to market value, then the competition looks like this. In the last 9 months or so, Vision Fund invested ¥4.4 trillion. And where the money came from, ¥3.8 trillion out of ¥4.4 trillion from Vision Fund sale of listed stocks. So for new investment, they use cash from Vision Fund sales of listed stocks. So that cycle of resources are running pretty well. The ecosystem works. So how much sold? How much still on the portfolio? As of today, listed portfolio companies -- well, Vision Fund, in principle, invest in unlisted private companies. And then they exit and go public. Some listed companies were sold, and other companies, they still keep, and that's on this chart. After investment, some companies go public and ¥10.5 trillion, and of that, 3-point -- ¥3 trillion was sold, and that cash from the sales of companies was transferred to new investment. So ¥3 trillion was used for new investment in private companies or unicorn companies. And Vision Fund, or also known as ¥10 trillion fund, we had other investors, including ourselves. And in terms of Vision Fund 1, 94 companies were invested by Vision Fund 1. And there were some Uber issues and WeWork issues. And many people would say that SoftBank Vision Fund 1 didn't work well. And other -- or third-party investors wouldn't like it. And we were in a situation where we couldn't find -- we couldn't get money from third-party investors. Then we started investment in -- with our own money. So that's how we started Vision Fund 2. In this chart, orange and green are LatAm investments. Overall, SoftBank Vision Fund have invested in 441, and of them, 100 by Vision Fund 1 and 300 either by Vision Fund 2 or LatAm. So Vision Fund has been working well. And currently, we are selling some investment and are investing into new businesses. So that ecosystem works well with our own money. Vision Fund 2 was started in 2020. And since 2021, in the last 9 months, they have invested in about 240 businesses. And looking at the scale of the funding amount, we are the biggest venture capitalist in terms of funding amount. Other venture capital companies invest in a lot of businesses, but Vision Fund uniqueness is investment in companies leveraging AI. So in terms of AI-related markets, AI-related sectors, SoftBank is the #1 investor venture capitalist in the world. So the companies that we invested have been growing well. And in terms of number of companies listed in 2020 -- well, since the start of Vision Fund, the number of companies going public has been increasing. Some years ago, I talked about golden goose and their eggs. And in terms of the number of golden eggs, meaning number of companies going public has been going well, going up. And this green bar is the number that we achieved in 9 months. So only in 9 months, not 12 months, in fiscal year 2021, 25 companies went public. So the number should go up a little bit more by the end of fiscal year. Most of the companies went public. They listed with profitability. But after listing, in the last 9 months, most of the high-tech companies' stock price were hit heavily. And after listing of the companies invested by Vision Fund, after the listing, their stock price are negatively impacted by the market. So again, we are still in the middle of winter storm, like I said earlier, and the winter storm still continues. That said, I believe that we will see a spring sooner or later, and we keep sowing seeds. And even in the middle of the storm, we begin to see the shooting of the seeds we sow, and steadily, the seeds are growing. So that's a pretty much a standard presentation of our earnings results announcement. But again, our key message today is Arm. So Arm is back. I just said back, but actually, I should say, Arm, it's starting the growth stage finally. So actually, we are preparing, but the preparation phase is end. And now that we are on a growth stage, and we are seeing the clear sign of it. So this is the revenue chart back in 2018, and since then, the revenue was relatively flat because penetration in smartphone has been full. So that was a little bit of flat in revenue. However, starting from fiscal 2021, Arm is growing again. So this is the second growth stage or golden stage, I would say, that the Arm is entering. And for this second growth stage, we have preempted several investments. So for Arm, what are the preempting of the investment? Because they don't have any factories, it doesn't cost from that sense, but the number of engineers, that's the investment that we have made. So to increase the number of engineers, those costs been increased because we wanted to increase the number of engineers. So that's why that the affected EBITDA -- so revenue was about flat. We just added a number of engineers. Then the EBITDA, of course, declined, so that you can see. But finally here, we start seeing the revenue back again, so that those seedlings are growing. And starting from this fiscal '21, now that we are seeing more and more fruit, as a result, now we are to see the increase in revenue going forward. I believe that we are on a growth stage of revenue of Arm. So I knew it from the beginning. I knew it. That's why I said that from the beginning, we wanted to bring this company go public again in 5 years or so. That was the first day of the acquisition that I was saying so. So this is exactly what I have expected in terms of the pace and in terms of the products that we are seeing these days. Like I mentioned earlier, number of engineers being increased with our investments every year basis, that actually pushed the EBITDA down. But finally, here that we are to see more and more products coming out from Arm. Why Arm is great company? And why do I believe so? Because Arm has a great, high computing power. If I say so, many people would say Intel should be better in terms of high computing power. Many general public may think that way. AMD in the same group series of Intel, probably the same. But Arm is actually making its own development, which is the low power consumption. So Arm made a very unique development, which is a bit separate type or different type of the evolution. So the computing power requires a power. But how should -- how can we keep the power consumption low? Of course, we need to improve the -- each CPU. But if I make it a story of automobile or the engine, the one output of the horsepower should be improved. However -- or number of cylinders not 1, but if you make it double or make it 4x or 8x, so you can increase those cylinders. So in the car engine -- automotive engine, if you have 8 cylinders, 4 cylinders, 16 cylinders, you can describe the automotive engine like that. And you put it into Arm, the core which is cylinders case of automotive, so from the 1 core, that has been evolved into multi-core. So that smartphone, as of today, Arm core, I would say, 12 Arm core are installed, for example. And actually, that is increasing from 1 to 2 to 4 to 8 to 12. So that's how it's increasing. Other than smartphone, like I mentioned earlier, it's been evolved in other areas as well. So why Arm was taking enormous market shares in smartphone area? Very much close to 90 -- I would say 99% been using Arm. And actually, low power consumption is a strong key. I believe you're all using a smartphone every day. If your battery die in the middle of the day, you may experience in the past -- I have experienced such as well. But if your smartphone battery die in the middle of the day, rest of the day is going to be disastrous, right? So that keeping a battery life long enough is going to be essential for the smartphone products. If you put it in automotive, 4 cylinders, 8 cylinders are consuming so much gas. So if you eat so much gas, then the owner of the automotive -- although you can earn the good horsepower, but you have the engine eat so much gas, that doesn't really make sense. So why Arm is taking a great share of the smartphone? It's because of low power consumption and improving its high computing power. So that is why that we believe we were able to take great market shares in smartphone. And same thing is happening in cloud. The product Arm is providing to cloud. Actually, about 128 core of Arm are installed in 1 chip for cloud. So it's like a 128 cylinders for engine. So it's like a 10x of the chip for smartphone. So sometime near future, I would say, 256, 1,024 cores. So for 1 chip, you may see 1,228 cylinders in the 1 engine. So that's going to be a tremendous core. So that is going to be the strongest supercomputer. For example, that the Fujitsu has produced a supercomputer, which is the strongest. And actually, they are also using Arm. And by having several Arm products, you'll be able to make such a supercomputer. So you may say that Intel may be stronger in terms of the capability. If you compare 1 core versus 1 core, their core may be better. But actually, that ours are even lower consumption with same capability. So now that the cloud is playing the center role in computer, and actually, they require the very good high computing power. In cloud area, Amazon, which is one of the biggest cloud business player, and now they are also migrating to Arm core system because cloud data center operation cost takes power. I mean, 60% of the cost -- operating cost of such data center in clouds are power cost. So actually, electricity is more expensive than chip. And if you choose Arm, you'll be able to reduce 40% to 60% of such electricity cost. So the 60% of the operational cost for the center is the electricity cost. And if you use Arm, of course, you would like to -- you'll be able to enjoy the lower power consumption, which reduce your electricity cost. So that's why that the people are choosing Arm. So Amazon, if once they decide to choose Arm, Microsoft or Google who are the competitors, Facebook, Alibaba, worldwide cloud major players, they come to Arm one after another. So what we've been working, what we are preparing other than smartphone, those seeds are actually coming to the -- on the ground. And now in addition to that, electric vehicle, about 40% of the costs are battery. It's low power consumption. And if you can earn longer distance, that's very important for electric vehicles. And that's the -- one of the biggest and most important agenda for electric vehicle. So if you increase the speed, but at the same time, because you cannot go over the speed limit, so that the speed -- before the speed limit, but still, you want to go further in terms of distance, that's how you like to prepare for the automotive industry. And that will be the competition for automobile industry. And actually computing power is the most consuming in terms of power. And now that we are heading towards the EV, electric vehicle era, without Arm architecture, I don't believe that we will be able to enjoy this low power consumption with high computing power. So the success in smartphone, principles or the concept, the benefit of those can be also utilized and verified in cloud system. And even in the electric vehicles industry, I believe that we'll be seeing the same. So with those 2 main field, we believe that the Arm is going to be a very powerful and important player. So like I said, 128 cores, 256 core, 1,024 cores. So those core -- number of cores in 1 chip is going to increase. So that the Arm is increasing or enhancing high computing power without eating too much power. You know about the Bitcoin, for example, the issue of Bitcoin. So there are lots of benefit as well, but also, there is a biggest disadvantage for Bitcoin. If you increase a number of Bitcoin, you need to do the mining. If you do the mining, you need -- that eats a lot of powers. So mining of Bitcoin requires so much cost of electricity. And last year, actually, the cost for the mining exceeded the volume of the power usage in Sweden country itself. That was the kind of articles or the media coverage that we heard. So enhancing or exceeding only by Bitcoin itself. So there are a lot of other cryptocurrencies other than Bitcoins and, I believe, with metaverse or in many areas that we are going to see, area which is going to require computing power. In cloud power consumption, for example, 365 times in 30 years in terms of energy demand for cloud. So comparing from 2010, so we have spent about 10 years or so. And even then, in 20 years ahead, this is -- the demand is going to increase even further. So not only the Bitcoins but also autonomous driving, it's going to require a lot of computing power. Cloud power consumption is going to increase. Without Arm architecture, because in the coming future, for the power generation, it's going to be difficult to use, for example, core and others so that we need to switch over to the renewable energies. But for the global-wide, even we had installed the solar panel, but still, we believe that we're going to be short in terms of the needs for the power because we are expecting so much increase in power demands. I don't think Intel architecture can solve this issue. If not Arm architecture, I don't believe that we can solve this issue. That's why like we saw in the great market shares in Arm in smartphone, we believe that Arm is going to be used in many other areas. In electric vehicle, 250x of the power demands in 24 years. Like you see in Tesla and others, there are many electric vehicles are coming in the market, and many of the car operators are switching over to electric vehicle. Once you migrate to electric vehicle, instead of gas, you're going to use power. Electricity is not generated inside of the car. The power company is generating the electricity, and the power company-generated electricity is going to be used in cloud and EV, electric vehicles. So going forward, we believe if not Arm architecture, we don't -- we believe that it's not going to be solving such an issue for demand shortage -- excuse me, the supply shortage. So old clouds and autos is going to be switched over to the growth stage. So now that we are facing or entering into the second growth stage, finally, and this is the great timing that we are aiming to bring this company go public once again. So a deal with NVIDIA, of course, we are hoping to be able to close that with successful ending. However, this is also a great scenario, not bad at all, as a matter of fact. Looking back, probably this could be the better scenario. That's how I want to see in a few years ahead. So that's how I think deep in my heart. So now that we are entering into the golden time of Arm, and towards that, management, we are welcoming the new leadership for Arm. And we are having a great leadership, and they will be assisting and leading the second growth stage of Arm and more aggressively and also with energetic way that we believe that we'll be able to go to this stage. Simon Segars, who was a great leader -- who have been leading Arm for the past great development of Arm business, and he, himself, would like to pass the torch to the next management, and he recommended Rene as the successor. And I, myself, have met with Rene for several times. And I think he is the one who is to lead the company. So we, today, decided to appoint him as a lead for the company. And that as a right-hand arm for Rene to support him, we have asked Inder to, together with Rene, to lead the company to accelerate the development of the company. So here on that we actually would like to connect to Rene and Inder.
Rene Haas: Sure. Thank you, Masa-san and [Foreign Language], everyone. I am very happy to join you today to talk a little bit about Arm. Myself and Inder will take the next few minutes to give you some more highlights about why we are so excited about Arm's future. So building on what Masa had described regarding Arm, one thing I would like to share with everyone is a very important detail regarding why we believe Arm is the most important computer architecture in the world. It really starts with software. The world's software lives and thrives on Arm. Arm has more developers than any instruction set architecture on the planet. We have more applications than anyone on the planet, over 15 million developers, over 10 million apps. We have the world's largest software ecosystem and support every major operating system in the world, including Android, Linux, Windows, FreeRTOS. This is very important because, as Masa was talking about, the future revolution beyond smartphones into the data center and into automotive and other area like IoT and the metaverse, having a very large software infrastructure is very important. Now as Masa said, just a bit of history, SoftBank bought Arm around the 2016 time frame. And at that time, we had a very strong business in smartphone, but our business in the infrastructure cloud and automotive was just beginning to grow. And you can see from the slide here, who the partners were that we were working with in the time. And particularly in infrastructure and automotive, we were really just starting our program. In the last 5 years, under SoftBank, we have grown our position in these 2 markets significantly. In the mobile space, we've still continued very strong market share, which we have today. But again, in the automotive space and the data center and hyperscaler, significant growth with many new companies, and you can read the logos here: Broadcom, Ampere, Microchip, Bosch, Renesas, Texas Instruments and also NVIDIA. And going forward, we are very confident about our growth in these areas. Particularly, again, we continue to have a very, very strong market position in smartphones. But going forward, our growth in the data center and automotive continued to be very significant. Now Masa gave some detail in his presentation as to why and specifically the fact that when you think about the data center of the future or the electric car of the future, they share many of the same attributes that a smartphone does. That is they need a very strong software ecosystem, and at the same time, they need to be very, very energy efficient. And this is a very, very good place for Arm to grow. And more importantly, we have very significant proof points already that we are growing. And to reinforce, the real forces that drive the smartphone economy are the foundations around the data center and the automotive. And again, we understand the recipe. We understand the formula. This is a trend that is being driven by these markets, and Arm is extremely well positioned to do well here. But more importantly, we should talk about real data, real proof points in the industry that show that we are growing. And one that I would like to highlight is regarding AWS. AWS, a number of years ago, launched a processor called Graviton, and Graviton was the first SoC built by AWS for their EC2 or their Elastic Cloud. Their next -- second-generation product, Graviton2, has 40% better price performance over comparable generation versus x86. This is very important because in the data center, there is a very fixed budget for area, a very fixed budget for power. So in that area, you want to be able to maximize your performance but not give up anything around price. And you can see what the advantages look like for Graviton2, just from a performance standpoint. But more importantly are the proof points. What are customers doing? 48 of the top 50 customers on AWS EC2 use Graviton2. This is proof that not only is the performance data real, but customers are seeing it, and customers are using it. And at the end of last year, AWS announced a new product, Graviton3, which has up to 25% more performance than Graviton2. So the trend continues for us. AWS is a fantastic partner, a fantastic proof point, but also a very good example of something that we can extend into other markets. Another area to speak about is automotive. And automotive is increasingly becoming a computer on wheels. It's becoming not only a computer on wheels, but as we move to the transition to fully electric vehicles that are going to be having some level of driver assist, they become not only more complex, but they obviously have to be very power efficient. It's a very good place for Arm. The car has many subsystems: the digital cockpit, the powertrain, the telematics and, of course, automatic driving assist to autonomous. All of these 4 areas use Arm today, and you can see the partners in each one of these areas that have moved from proprietary technology to building a system-on-chip using Arm. We are now becoming the de facto standard in cars, with some cars having 10 chips, 20 chips, some as many as 30 to 40 Arm chips in a single car. And that's just today. That number will only increase and grow in the future. And the common software that people will write for these applications, the very power-efficient architecture and a constrained battery make Arm a very, very good solution for this space. Now with that, I would like to turn it over to my partner, Inder, Inder Singh, our CFO, to talk a little bit about some of the financials.
Inder Singh: Thanks, Rene, and thank you, Masa, for inviting us to speak on today's earnings call. Hello, everyone. I'm so excited to be with you today as we talk about the next chapter of Arm, our plans to go public, to establish a very strong business model in the coming years as we go public and continue to invest. So in my couple of years here, now 2.5 years at Arm, I've been very impressed by the strength of the Arm portfolio of products and what we've been doing in some of these new markets that Masa was talking about and Rene were talking about. We've been beating, in fact, the 5-year plan we had put together at the beginning of 2020, and we're very pleased with the momentum that you saw in some of the charts that Masa presented. I wanted to just give you some more financial details, just using 1 or 2 slides, actually, about our bright prospects for the future. And I'm going to use mostly this slide to talk through most of my comments. So let me address the first box that you see on there, which is really about the fact that Arm is the undisputed leader when it comes to smartphones. In fact, there's almost 100% chance that the smartphone that you're carrying with you right now is powered by Arm CPUs. We are that pervasive. We touch nearly 70% of the earth's population in terms of our various technologies and the products. In this current fiscal year, in FY '21, on a year-to-date basis, we have seen our mobile segment revenues grow 29% year-on-year. And as I look forward, all of the devices that are powered by Arm in the mobile segment, whether it's the smartphones that you have or increasingly the laptops that you might be using, all of these will be migrating to 5G. And just at the right time, Arm has been rolling out our new version 9 architecture. So the combination of these 2 trends, I think, creates enormous AI capabilities in end devices which, frankly, for us means there's more Arm content in every single device, and that results in higher revenues. And we've just signed a number of licenses for v9 over the last 2 years, and we think we'll benefit from that in the coming years as a result. And as both Masa and Rene did say also, we're gaining share in data center, and we're gaining share in automotive. In the automotive segment that we have, obviously, as cars become smarter and cars become EV or AV, they require more and more computing power. So as we look at the results in the first 9 months of this year, we've also been taking share in the automotive segment, and that business has actually grown 139% year-over-year, year-to-date this year. And we think that, that growth can continue. We think our investments will continue for sure as that segment evolves and matures over the next several years. If I think about infrastructure, and you heard Masa talk about our infrastructure business and how important servers, for example, are and how important the Arm architecture is to them at this point in time. The infrastructure segment for us, the revenues grew 65% year-to-date. These are incredibly strong numbers. So the momentum that we've built by gaining share, by entering new markets, by rolling out new products gives us the confidence to say, as we look at the rest of this year and the full year basis, and the second box is what I'm now referring to, we're forecasting that our revenues will grow 26% year-on-year in FY '21. So the bottom line is our strategy has been working. We are now forecasting both record revenues and record profits for this year. In fact, when we grow 26% this year, it will now be the second year in a row that we'll have grown double digits. So we've established a very tight cost discipline at the same time. And as the teams have worked together to prioritize all the different projects that we have, we're not only investing in those products, which we think will have the highest ROI. And as you saw in Masa's chart, we have now successfully executed a V-shaped recovery in our profitability over the last couple of years. As we look at our business, we see a very highly profitable and cash-generative business. And if I think about the balance sheet that we have, it is actually a very strong balance sheet, debt-free. Every year, our gross margins, which are north of 95%, create the cash-generating power that we need to apply against the investments we have to make to grow the company. So we are very confident about our ability to invest in our business, to grow the business and to actually win in these new markets that we're entering. And we will continue to innovate for our customers, which is what Arm has always done and we will do on an accelerating basis going forward. And just on the last bullet that you see here, it's important. We are a new Arm. We have a new leadership team. We're going to be bold about our future. We're going to execute on a very bold strategy, and we're going to do it with confidence. And if we do that, then on the next page, what you'll see is that we will begin to set up a very, very impressive IPO story for our investors in the future. As Masa outlined, we are now preparing to be actually, I think, the most significant IPO in the history of the semiconductor industry. As a company, we have been investing in the projects that we need to be a public company already for about 2 years. So we've put in the systems, the financial processes. We've hired talent, and we're putting the controls in place now. There's a lot of work to do as we look at the next several months. But as we think about an IPO in FY '22, we feel very confident about our business strategy, and we think about a very successful IPO. And with that, Masa, I'd like to turn the microphone back to you, please.
Masayoshi Son: Okay. Thank you very much. Thank you, Rene and Inder. I really appreciate it. So that is all for today's slides that we have prepared for this earnings call. So we want to be the capitalist -- vision capitalist for the AI revolution. And I think this is the great new next chapter, and we are preparing for that. And the key for that is going to be Arm. That's how I feel. And again, Arm is back, and they are entering into the golden phase. So different from 2 years ago, our financials are actually in better shape. So we have even more confidence in ourselves for the future. I am so excited, and I am so looking forward to see the next chapter. Thank you very much. That's all for today. Thank you.
A - Unidentified Company Representative: Thank you very much. Now we would like to take questions. First, we'd like to take questions from the floor. [Operator Instructions] Now first, on the floor.
Masahiro Nakagawa: Nakagawa from Toyo Keizai. I have 2 questions. First, about Marcelo Claure who stepped down, and tell us a background of his resignation. And the second question, Vision Fund 2, commitment amount last time was $42 billion something, and it has increased by now. And how are you going to make it bigger? And encryption and blockchain, and you have started investment in those Web 3.0 areas, if you will. So what kind of expectation you have?
Masayoshi Son: Thank you. First, about Marcelo, he left Sprint and WeWork. And those challenges from SoftBank Group were addressed by Marcelo, thanks to his tremendous contribution. Our business of SoftBank Group is to become a capitalist of AI revolution. That's the vision we have. Against that background, Marcelo and the SoftBank Group agreed that we are taking a separate ways. So that's why we decided to let him go. And Marcelo is an excellent leader. And I hope that he will be successful in his next chapter of his business life. For Vision Fund 2, the contribution exceeds the one that we invested in SoftBank Vision Fund 1. So we want to build up constantly. Our ticket size per business or company is smaller compared to the one in the days of Vision Fund 1. So we'd like to take actions faster than before. So in the days of Vision Fund 1, we were looking at 30% of the ownership, and we tended to invest in companies that are close to IPO. So we invested in like ¥100 billion per business. But in the Vision Fund 2, 10% to 15% of the ownership that we are looking at per investment in terms of Vision Fund 2, it's easier for them to enter the market -- for us to enter, excuse me, and also easier to exit. So the cycle gets faster and better. And also, like you said, we are looking at Web 3.0, so we want to help revolutionize societies and committees by leveraging AI, so those unicorn companies that we want to help by investing them. So again, we are running a cycle of selling and buying -- or investing, excuse me. So once we get gain after listing, we capitalize on that and reinvest in private companies. So that kind of ecosystem or cycle is what we are running by making sure that we meet financial disciplines, LTV less than 25% in normal times. And we have 2 years' worth of redemption of bonds. So long as we can meet those financial requirements or rules in the company, we believe that we can continue investing.
Eriko Wada: My name is Wada from Nihon Keizai, Nikkei Newspaper. So regarding Arm, I have questions. So the acquisition cost was of ¥3 trillion, and what is the current value you are looking at? So if you are aiming for IPO once again, is it going to be the higher value than you sell to NVIDIA? Is that your expectation? And my second question is about, again, Arm. I understand it is very competitive. But without going public again, would you rather like to keep it as a private company? So I understand as long as you don't have any financial issue, why do you need to monetize -- I mean go public or by IPO?
Masayoshi Son: Yes. Thank you for your question. So at the acquisition of Arm, that was USD 32 billion. So it's about ¥3 trillion and a little bit more. That was the cost we spent for acquisition. A sale to NVIDIA, that was USD 40 billion, including some performance. And 1/3 is cash, 2/3 is to exchange with NVIDIA share. So $32 billion became $40 billion. So out of $40 billion, about $5 billion was the -- including some performance base. So whether that will be able to achieve this performance -- or that means because we are entering into the second growth stage, so that both revenue and profit actually that we are achieving -- we were to achieve -- we will be able -- we are in a situation where we can achieve in fiscal '21 for this target, for this performance. So in both revenue and profit, we were to be able to have full $40 billion was to be accomplished. But 2/3 of this $40 billion is to be exchanged with NVIDIA share. Once we close this deal, we want to become the major shareholder of NVIDIA. As of today, NVIDIA share price, cash plus NVIDIA share, that would count it for about $80 billion or somewhere close there. So when we acquire, it was $32 billion, and even 1/10 of the value that some criticizes were there that, that was too -- even 1/3, this is too expensive. But the $32 billion became $40 billion, and $40 billion to be -- become $80 billion with a merger with NVIDIA. That was a kind of a path that we've been seeing. And we don't know yet, because it's a market decision, how the share price will be after Arm go public again. It's not me -- my decision. But at least, Arm is now that entering into the -- its golden phase, second growth stage. I'm so convinced with such a movement so that we are happy. We believe we are still happy to be able to have this situation. We don't know the share price will be after we see the market. But 2 years later, 3 years later, after the IPO, then we believe that we'll be able to see even further growth in revenue, profit and value. So I think it is going to be a very great years ahead, not only a single year, but we believe that we will be able to continuously grow for multiple years. And why are we aiming for an IPO? Why don't you keep -- hold on to it in private company? Right now, 25% of Arm is held by Vision Fund 1. Vision Fund 1, actually, as you know, have third-party LPs. And for them, as a listed securities value, it's going to be important. That's one of our mission for the fund. Second of all, for employees. We want to provide a good incentive for employees of Arm so that -- and because this company, we would like to provide the good compensation or the incentive for the employees who are making the hard work for Arm business. That's why that IPO is a good objective for that. And third of all, because Arm became such an important social infra -- even that one player of the social infrastructure and many of the companies are actually using Arm. So that's why that we believe it's important for the company being more transparent in the society, and being a public company can provide such a transparency. That's why we are aiming for IPO once again. Actually, from the first day of the acquisition of Arm actually that we -- I was aiming to go public again in 5 years. So there's no change from that time, actually.
Reo Otsubo: Otsubo from Sankei Newspaper. A simple question about relisting of Arm, which market are you looking at? That's the first question.
Masayoshi Son: Thank you. The U.S., that's the market that we are looking at when it comes to listing Arm, and most likely NASDAQ. But wherever it is, the U.S. is the market that we are looking at for the listing of Arm.
Reo Otsubo: Next question from myself. Talking about metaverse, one of the areas that Arm can play a very important role. So metaverse can be a next Internet in terms of being big. So through investment, are you going to get engaged within metaverse? So my question is how are you going to get involved in metaverse, so engaged with metaverse?
Masayoshi Son: Metaverse is evolving and expanding, and it's going to be a way -- a culture or a lifestyle. That's how I see in metaverse. For that, element technologies are getting there, and I have no doubt about the trend. And through Vision Fund, I think that we invest in companies that played an important tool in metaverse. Why? Because they are going to leverage AI in the space of Metaverse. So through Vision Fund, we want to invest in companies that provide a service and platform for metaverse. And in order to build metaverse, cloud computing and edge computing are going to be critical, and demand for them are exponentially growing. That requires a huge computing power. So again, like I keep saying, Arm is going on to the next chapter and golden age, and metaverse is a welcome trend.
Unidentified Analyst: My name is [Sugiyama] from Asahi Newspaper. I have a question on Arm. At the 6 months period earnings, you mentioned that you still believe that you'll be able to receive the regulatory approval on the transaction. And this time that you announced to terminate this agreement. In the meantime, there are some legal lawsuit in U.S. and so on. But what was the main trigger for you to come to this termination? Any backgrounds? Or can you put -- elaborate some colors on it?
Masayoshi Son: Yes. Thank you for your question. In United States, antitrust lawsuit was becoming more clear by FTC. And also, U.K., EU, each respective regulatories were expressing a strong consideration. In the meantime, we were -- tried to solve such consideration. And NVIDIA actually proposed several solutions, so that we thought such solution can be convincing regulatories. And I was actually believing that we will be able to close this deal. But even despite such discussion and proposals, regulatories didn't really buy it. So that was the kind of a situation in the past 2, 3 months. So NVIDIA has recommended to terminate this time. They were also in a strong belief, and we are in strong belief as well to close this deal. We were working very hard. But these past couple of months that we come to this conclusion despite good faith efforts by 2 parties.
Unidentified Analyst: [Sanda] from Nikkei Business. I have 2 questions, both of them related to Vision Fund. First, as of end of December, you were under the financial discipline in terms of investment. And in January, talking about the slowing down investment or other indicator than 2 important indicators that you may want to look at. So again, that's -- was the question I want to ask you about your position to Vision Fund.
Masayoshi Son: Thank you. First, in principle, we invest by making sure that we meet financial rules disciplined. And looking at the market, in fact, not only SoftBank Group, but other venture capitalists are looking at the market. And private companies' value or valuation of them, they begin to talk about lowering the valuation of private companies. So not only SoftBank Group, but other venture capitalists start to renegotiate with private companies. So the number of deals might be smaller, and the ticket size may be even smaller. So at the beginning of last year or mid of last year, compared to those days since the start of this year, we begin to feel that the ticket size goes smaller and the investment size goes smaller. But if interest -- excuse me, the money required to get into or get -- enter in the private business, it's not bad to grow the value of those private companies. So we constantly make investment, but speed-wise and ticket size-wise, maybe it's slower and smaller, but we want to make sure that we make investment with our own money.
Unidentified Analyst: The next question is about, again, Vision Fund. Sometime around the end of December, unicorn held by Vision Fund might be utilized as a collateral for new investment. That was sort of media coverage that I saw at the end of last year. What do you -- what's your view?
Masayoshi Son: So listed companies or unlisted companies held by Vision Fund, looking at the value of the collateral, we have offer to utilize the value of Vision Fund portfolio of companies. So we are looking at using a collateral value of portfolio companies for new investment.
Unidentified Company Representative: So actually, we also need to accept from the Zoom. So 2 persons from the floor, and then go to the Zoom. So one person for -- per one question, please.
Unidentified Analyst: My name is [Goto] from Mainichi Newspaper. So termination of agreement on Arm, I have one question. So in earlier question that you said that you may be able to close, but you come to the different result. So plan A, the transaction with NVIDIA, in 18 months or so, you had to give up. So what is your honest feeling now?
Masayoshi Son: Yes. Thank you for your question. Honestly, then I would say, I wouldn't imagine that so much key players in the industry and each respective regulatories are against this idea of transaction. I believe that the NVIDIA feels the same way that we wouldn't have -- we didn't imagine such a big objection. But now looking back, like I mentioned earlier and explained in the previous slides, that Arm is now entering into the golden stage. So despite our -- although we couldn't get an approval on this transaction, but plan B is actually not bad at all. It could be better plan for us. That's how I motivated and how I am excited about the second chapter of Arm.
Unidentified Analyst: [Yotsuiro] from TV Tokyo. About the Vision Fund investing in Japanese companies, which they do, what's your view on investing in Japanese companies?
Masayoshi Son: While investing in Chinese companies is getting a bit difficult, recently, they invested in 2 companies. In Japan, leveraging AI is not done well and behind the curve compared to other countries. But now we begin to see companies that are taking advantage of AI pretty well. And we began discussion with some potential companies, and we have dedicated -- we are building a dedicated team to invest in Japanese companies. So we are excited.
Unidentified Analyst: And one more follow-up question.
Unidentified Company Representative: Sorry, one person, one question.
Unidentified Analyst: My name is [Hasley] from TBS TV. So Mr. Marcelo Claure resigned last month. And you, Masa, I believe that one of the important agenda is to find the success of yours. As of today, how do you feel about it? And what is your future direction on your successor?
Masayoshi Son: Yes. So I still believe that it's a very important agenda for me to find the successor of mine. I will -- and I find it, and I will raise this person. But right now, having said that, I, myself, is very much motivated in Vision Fund and Arm. Every day is so exciting. I'm having so much fun. If I retire giving up all such fun, that's going to make me very old grandpa. So right now, I still want to work in an active way. And my health issue, the other day, I played bowling, and I threw the ball several times, and I scored more than 200 for 2 times, 2 games. I'm in 60s, amateur, just play once in a while and scored 200 or more in 2 games. I don't find many of such same-age player around. I think it's quite a good speed in ball, so that I think I am still young. I think that I am still doing good. So I'm proud of myself that I'm still doing great -- in great figure. So in management or in business, I'm still having great fun of managing the business. Of course, I will find -- try -- I will explore the successor, but I still want to keep or having -- keep having a good time here. So I will look for the successor, for sure.
Unidentified Company Representative: The last question from the floor.
Wataru Suzuki: Suzuki from Nikkei Asia. About Alibaba, for the exchange contract, and in my understanding, cash settlement option and share settlement option were there. And the cash settlement option, I think you did it for the first time recently since listing of Alibaba stocks. I don't think you did capitalize on that.
Masayoshi Son: Well, we still have about 25% of holding. So only fraction of the holding was capitalized in cash. So of Alibaba share that we have, 90-something percent, we still keep only a few percentage. We had done cash settlement, and we got cash. That cash can be recycled to Vision Fund investment. So for SoftBank's shareholders and SoftBank's management , I think it's good to have that kind of option.
Unidentified Company Representative: So sorry to keep you waiting for those Zoom participants. I would like to take a question from the Zoom participants. [Operator Instructions] So Ichikawa-san from Yomiuri Newspaper.
Daisuke Ichikawa: Yes . This is Ichikawa from Yomiuri Newspaper. So is it only one question?
Unidentified Company Representative: Yes, please. Just one question per person.
Daisuke Ichikawa: So IPO of Arm is my question. Fiscal '22 that you aim to go public. And after that, how much are you going to hold on to? So we're expecting -- or are you expecting that very much good success in Arm, but are you going to be long holder of Arm?
Masayoshi Son: Thank you for your question. I'm so convinced that Arm is going to go very -- coming to the golden age, so that we don't want to sell too much. That's my feeling, honest feeling internally for me. But the Vision Fund, we have, as I mentioned earlier, the third-party investors because Vision Fund is a 25% holder of Arm, and 75% are held by us. So out of Vision Fund, about half of the gain will come back to SBG, SoftBank Group. So considering the balance of those, we would like to decide how we should be.
Unidentified Company Representative: Next question, [Anthony] from Financial Times.
Unidentified Analyst: I have a question to Masa. So you mentioned that most likely in NASDAQ, that's the market that you're looking at for Arm IPO. But Arm is U.K. company, so not -- why not London? Why U.S.? Is it because of the size of the market and the internationality of market? Why U.S., not U.K.?
Masayoshi Son: Well, I would say, users or customers of Arm, most of them are in Silicon Valley, and the investors show strong interest in Arm. That's what I heard in the U.S. So from that perspective, U.S. NASDAQ, which plays a key role in high-tech sector, might be most suitable. Well -- or New York, but NASDAQ is in the center of high-tech industry. So at the moment, we are looking at NASDAQ, but it's -- nothing is decided. But at least, we plan to make Arm go public, but most likely NASDAQ. But nothing is decided yet.
Unidentified Company Representative: Thank you. Then going to the -- due to the -- for the interest of time, this will be the last question. Thank you very much for your participation. This concludes the SoftBank Group Corp. earnings results announcement for 9-month period ended December 31, 2021. This video footage of this meeting will be distributed on demand from our corporate website. Thank you very much for staying with us. Thank you very much for -- again for joining the SoftBank Group of earnings results announcement for the 9-month period ended December 31, 2021.